Operator: Good day, and thank you for standing by. Welcome to the Summit Midstream Partners Third Quarter 2023 Earnings Conference Call. At this time all participants are in a listen-only mode. After the speaker's presentation there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to turn the conference over to your host, Randall Burton. Please go ahead.
Randall Burton: Thanks, operator, and good morning, everyone. If you don't already have a copy of our earnings release, please visit our website at www.summitmidstream.com, where you'll find it on the homepage, Events and Presentations section or Quarterly Results section. With me today to discuss our third quarter of 2023 financial and operating results is Heath Deneke, our President, Chief Executive Officer and Chairman, Bill Mault, our Chief Financial Officer, along with other members of our senior management team. Before we start, I'd like to remind you that our discussion today may contain forward-looking statements. These statements may include, but are not limited to, our estimates of future volumes, operating expenses and capital expenditures. They may also include statements concerning anticipated cash flow, liquidity, business strategy and other plans and objectives for future operations. Although we believe that these expectations reflected in such forward-looking statements are reasonable, we can provide no assurance that such expectations will prove to be correct. Please see our 2022 annual report on Form 10-K, which was filed with the SEC on March 1, 2023, as well as our other SEC filings for a listing of factors that could cause actual results to differ materially from expected results. Please also note that on this call, we use the terms EBITDA, adjusted EBITDA, distributable cash flow and free cash flow. These are non-GAAP financial measures, and we have provided reconciliations to the most directly comparable GAAP measures in our most recent earnings release. And with that, I'll turn the call over to Heath.
Heath Deneke: All right. Thanks, Randall, and good morning, everyone. So today, I'll start by discussing our third quarter financial and operating results, and then I'll briefly touch on the strategic alternatives review that we launched in October. So as we previously mentioned, we did have a slower-than-expected start in the first half of the year. That was primarily driven by a timing shift in well connects that were originally slated to come online during the second quarter. We’ve now regained that momentum in the third quarter with about 74 new wells turned in line behind our systems, which, of course, drove significant volume and adjusted EBITDA growth of roughly 20% quarter-over-quarter. We're pleased to report today that our third quarter adjusted EBITDA of equal to about $72.8 million, which was above the midpoint of our original guidance range and certainly demonstrates that we're back on track to achieve $300 million of LTM EBITDA -- adjusted EBITDA during the first half of next year. Drilling down a bit more on our segment results in the Northeast, we connected 22 new wells during the quarter, 14 behind our wholly owned SMU system and eight behind our OGC joint venture. This also resulted in quarter-over-quarter segment adjusted EBITDA growth of over 35%. Since the end of the third quarter, we have connected an additional 11 wells, which we expect will continue to drive volume and EBITDA growth behind our SMU system throughout the fourth quarter and into next year. Despite the timing delays that we had in the first half of the year in the segment, our activity levels are now -- have fully caught up with 76 wells connected year-to-date. And we're also pleased to announce, as we did this morning, that we had -- we kicked off a multiphase project, centralized compression project that will provide low-pressure service on parts of our SMU system. The first phase of the project will be in service during the first quarter of 2024 and will result in an incremental compression fee on about $20 million a day of existing production. And we anticipate installing additional phases of the centralized compression project over the next couple of years, which, again, will add additional revenues behind that SMU system, and we believe will have a positive impact on overall production levels. The combined project will take advantage of latent compression units from our Mountaineer system in West Virginia, which significantly mitigates our out-of-pocket capital cost on the project. Moving to the Rockies segment, we connected 37 wells behind the system during the quarter, including six in the DJ and 31 in the Williston, which drove about 20% volume growth on the liquid system and nearly 50% adjusted EBITDA growth. Full year-to-date well connects in the Rockies to 114 wells and by the way, we're still expecting additional 50 wells or so to be connected during the fourth quarter. We continue to focus on integration of the DJ Basin acquisition that we made last year and expect to have the majority of the capital projects complete by the end of the year. These projects will meaningfully enhance our operating margins in 2024 and beyond as we integrate the systems. A few other key highlights in the Rockies. We recently executed a 15-year contract extension with a key customer in the Williston Basin, which includes over 30,000 largely undeveloped acreage behind our existing system in Southern Williams County. We expect this customer to begin a one-rig development program in mid-2024. And additionally, we had two of our major customers in the Williston segment merged during the third quarter. And while this combination might create some or dampen some near-term development activity, relative to status quo, we're really very excited about the pro forma combination. The contiguous acreage position here will certainly create and enable our anchor customer here to develop more three-mile laterals versus two-mile laterals that they've been able to do historically. So overall, we think it's going to be a very positive development for the segment. Quickly in the Barnett, our anchor customer connected six wells during the quarter, which are performing very well. It's a bit early to talk too much about 2024, but we will tell you that, that customer has also communicated plans to complete 15 to 20 wells in the first half of 2024, which would lead to some really nice volume growth behind the Barnett system next year. Additionally, as we previously announced, one of our customers had elected to shut in production, about 20 million a day of production, really just anticipating much higher gas prices in the future than what we've experienced thus far in the year. We're hopeful that, that production will also come back online soon as we see prices continue to strengthen. So look, with the 224 wells that we’ve connected through the third quarter and at least 75 new wells that are expected to turn online by year-end, we continue to expect fourth quarter adjusted EBITDA to range from $75 million to $85 million. Looking further ahead, we're very pleased with the cadence of customer activity. As we said, we have about 220 wells that are slated to turn in line between now and the first half of next year. And we believe this level of activity demonstrates that the momentum in the business will continue next year. It really gets -- keeps us on track to achieve again the $300 million of LTM adjusted EBITDA sometime during the first half of next year. So before handing the call over to Bill, I also wanted to touch on the strategic alternatives review we announced in early October. We're pleased with the level of interest that we've received from multiple parties that involve various transactions ranging from specific asset sales to sell the whole partnership. Board and I felt it was prudent to engage external advisers to help evaluate these alternatives, obviously, with a goal of maximizing our -- the value of our units for our unitholders. These alternatives include, but are not limited to, continuation of -- continued execution of the business plan that we're under now, sale of certain assets, we're refinancing parts or the entirety of the capital structure, sale of the partnership by merger or cash or really any combination of these and other alternatives are definitely in play. There's no deadline or definitive timetable set for completing the strategic alternatives review, but we are committed to provide further updates on the process as appropriate. I'd like to remind everyone while the Board conducts its review, the company remains focused on its operational performance and execution of its existing business plan. So with that, let me turn the call over to Bill to give more details on segment results and expectations.
Bill Mault: Thanks, Heath, and good morning, everyone. In the Northeast, which is inclusive of our SMU system, proportionate share of our Ohio Gathering joint venture and our Marcellus system, the segment averaged 1,622 million cubic feet per day during the quarter, inclusive of 870 million cubic feet a day of [indiscernible] OGC volumes. Segment adjusted EBITDA totaled $27.8 million, an increase of $7.6 million, representing 37% growth relative to the second quarter. This was primarily due to an increase in volumes. We connected 22 new wells during the quarter, including 14 new wells behind our wholly owned SMU system and eight new wells behind our OGC joint venture. Subsequent to quarter-end, we've connected an additional 11 wells behind the system and there's currently two rigs running with approximately 14 DUCs. The Rockies segment, which is inclusive of our DJ and Williston Basin systems generated adjusted EBITDA of $25 million, an increase of $8.2 million from the second quarter of 2023, primarily due to increased volumes, higher fresh water sales and an increase in commodity prices positively impacting our POP contracts. In the DJ, natural gas volume throughput averaged 117 million cubic feet per day, representing 18% increase relative to the second quarter, which is primarily a result of 13 wells connected during the first quarter of the year, starting to reach peak production. We expect the 38 wells connected during the second quarter to reach peak production during the fourth quarter, which we would expect to continue to result in volume growth through the end of the year and into 2024. In the Williston, liquids volume throughput averaged 83,000 barrels per day during the quarter, a second -- 17% increase relative to the second quarter as a result of 31 new wells coming online during the quarter. We continue to expect over 50 new wells to be connected behind the systems in the fourth quarter, mostly in the DJ, which will lead to continued volume growth in the first half of 2024. There are currently three rigs running and more than 115 DUCs behind the systems. The Permian segment, which includes our 70% interest in the Double E Pipeline, reported adjusted EBITDA of $5.8 million, an increase of $0.5 million relative to the second quarter. And just as a reminder, the contracts on Double E will ramp again in November, which will bring total contracted volume to 985 million cubic feet per day. Volume throughput on Double E averaged 327 million cubic feet per day, representing an increase of 34% relative to the second quarter. We remain confident in the fundamental long-term outlook for the Double E pipeline with 102 rigs running in Eddy and Lea Counties, New Mexico, several recent plan expansions announced in the region and the recent and expected trajectory of our anchor customers production in the basin. The Piceance segment reported adjusted EBITDA of $15.3 million, an increase of $0.9 million relative to the second quarter. Volumes averaged 313 million cubic feet per day, an increase of 5.4% relative to the second quarter, primarily due to volume from 12 wells that were turned in line during the quarter. Subsequent to quarter-end, eight additional wells have been connected behind the system, and we expect another 13 to be connected by the end of the year, all of which are currently DUCs. The Barnett segment reported adjusted EBITDA of $6.1 million, a decrease of $1.2 million relative to the second quarter primarily due to $1.8 million of other revenue recognized in the second quarter. Our customer continues to keep approximately 20 million a day of production shut-in due to low natural gas prices, and we estimate that those shut-ins negatively impacted adjusted EBITDA by approximately $1.3 million. Our anchor customer connected six wells in September, which will result in volume growth in the fourth quarter. In addition, this anchor customer has communicated initial plans for 15 to 20 well connections in the first half of 2024. There is currently one rig running and 21 DUCs behind the system today. Quickly on the partnership. SMLP reported third quarter net income of $3.9 million and adjusted EBITDA of $72.8 million, capital expenditures of approximately $18 million for the quarter, in line with expectations and included approximately $3 million of maintenance CapEx. The majority of the CapEx spend during the quarter was in the Rockies and associated with pad connection costs and DJ Basin integration projects and in the Northeast related to the centralized compression project Heath mentioned earlier. With respect to SMLP's balance sheet, we had net debt of approximately $1.32 billion. Total liquidity at the end of the third quarter totaled approximately $118 million, which included approximately $4 million of letters of credit. As a result of the growth in adjusted EBITDA, total leverage has decreased approximately 0.3 turns quarter-over-quarter, and we continue to expect to see significant de-levering over the next several quarters as we trend towards $300 million of LTM adjusted EBITDA in the first half of 2024. And with that, I'll turn the call back over to Heath for closing remarks.
Heath Deneke: Thank you, Bill. So just to recap. I mean, we remain very excited about the activity levels behind the system and the resulting volume and EBITDA growth. The third quarter represents a very strong quarter for the business, and we expect to continue to build on that momentum in the fourth quarter and as we head into 2024. We look forward to closing the year strong and certainly, we'll provide further updates regarding our strategic alternatives review as they continue to develop. So with that, thanks for the time and continued support. And operator, let's open the call up for questions.
Operator: [Operator Instructions] Our first question comes from the line of Gregg Brody with Bank of America. Your line is now open.
Gregg Brody: Hey, guys. Thanks for the comprehensive update. I just have a couple. So as you think about the strategic review, I appreciate there's a limit to what you can say. But just sort of two questions there that you might be able to answer without giving too much away. Is there any limitation on asset sales we need to think about with respect to taxes, that's something that may limit selling the company in pieces or anything that we should consider? And then the second question is just before you announced the strategic review, buying assets seemed to be the strategy that you're focused on? I guess, I'd like to say what's changed there that doesn't seem to be part of the priority? And those are my questions.
Heath Deneke: Got it. Yeah. Thanks, Gregg. Look, as far as limit of asset sales, given what particular tax situation that might bring about -- I mean it's certainly something we'll kind of take into consideration. But I think the assets that we're evaluating and the inbounds that we're evaluating, we don't think it's going to be prohibitive apart from us being able to monetize if we get the right value. As far as what's changed, I really don't think anything has changed. I think, obviously, we're opportunistic in the DJ. We bought those assets for around five times. And as you can see, recently announced, I think you can see that some other assets in that area have traded at probably higher multiples than that. So I think we just found a really good buy opportunity to have a lot of good synergies with our existing operations that led us to kind of closing on that acquisition last year. I think as we look ahead, obviously, this year, with the strategic alternative review is what really prompted this was, as we discussed some inbound activity as well as just not being overly pleased with where our stock price has been trading. So I don't think it's a shift in strategy. I think we're being responsive to some folks that recognize there's some really high-quality assets in the portfolio that, frankly, the market value is probably in excess of our enterprise trading multiple now. That's what's prompting us taking a hard look at that. And likewise, for indications on maybe buying the whole partnership, that's something that we're just evaluating relative to status quo and some of the asset sale case. So I think that's about really all I can say on it. But again, I think -- it's not that -- we still think that there's a lot of good opportunities to tuck-in assets in and around the footprint. I think that's part of what we like about this position here over time. Hopefully, we'll be able to find some additional assets that might make sense over time to tuck in.
Bill Mault: Yeah. And Gregg, the only thing I'd add on the acquisition front, as I mentioned in my prepared remarks, we're seeing kind of quarter one of that kind of run rate to $300 million, which resulted in 0.3 turns total leverage de-levering, just rolling on old quarter off and bringing in a good, solid, a $73 million quarter this quarter. So as you think about the business, we're really going to accelerate de-levering here over the next several quarters. And I think that will also better position us not only for broader refinancing potentially next year as well as looking at some of these additional highly synergistic bolt-ons. But at the moment, we have been focused integrating that DJ Basin acquisition, having that done by the end of the year here so that we can really push kind of some of the commercial synergies we mentioned when we acquired those assets.
Gregg Brody: And I'll throw one more in here just related to the business. So clearly, as you pointed out, the ramp is happening just a little delayed this year. What's the sense you're getting on your customer appetites for next year and you alluded to some of this on a call, considering where the commodity prices have gone to now, in particular, gas prices, which have come back quite a bit, and then obviously oil where there seems to be more upside risk out there than downside.
Heath Deneke: Yeah. I think -- look, I mean, as we said, I mean, we have a good line of sight on the rest of the year and the first half of next year. And I think we've got a little over 220 wells that are scheduled to be turned online during that time period. So I think we continue to see -- at least what we have in front of us is very much a continuation of what kind of the cadence that we've experienced to date in 2023. Second half of the year, I kind of generally agree with you. I think, the good thing, on the gas side, as we said, in the Barnett, our anchor customer there has committed 10, 15 to 20 wells first half of next year. That's in spite of kind of where the gas prices are now, and they've shown the resiliency to kind of drill and like commodity prices and same thing up in the Utica. I think the wells are still economic, and I think we're -- you're not seeing overall production growth necessarily out of Utica, but just given our footprint and the amount of inventory relative to other systems, we're just getting a little bit more activity than we have been in the past. So I mean so far, I'd say we continue to expect there to be some strong momentum as we kind of cover into 2024.
Bill Mault: Yeah. And Gregg, just breaking down the 220, right? If we've got 75 wells that we expect here in the fourth quarter, and then you kind of blend that remaining 145, you're talking about kind of about 70 to 75 wells a quarter throughout the first half. And certainly early to kind of make a call on second half, and we'll certainly do that during our normal kind of guidance cadence when we release our 10-K in February. But I think that just gives you a sense that we've been kind of trending in that 75-ish, 70, 75 wells a quarter type of range.
Gregg Brody: Great. Thanks for the time, guys, and all the detail.
Operator: Thank you. That concludes today's Q&A session. Thank you for participating on today's call. This concludes today's conference. You may now disconnect.